Operator: Greetings and welcome to the OTC Markets Fourth Quarter and Fiscal Year 2014 Earnings Call. At this time all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to our host Mr. Dan Zinn, General Counsel for OTC Markets. Thank you. You may begin.
Dan Zinn: Thank you, Operator. Good morning and welcome to the OTC Markets Group fourth quarter and year end 2014 conference call. With me today are Cromwell Coulson, our President and Chief Executive Officer; and Wendy Fraulo, our Chief Financial Officer. Before we begin today's call, I'd like to review the Safe Harbor statement. This conference call may contain forward looking statements about the Company's future plans, expectations and objectives concerning but not limited to the Company's expected financial results for 2015. Words such as may, will, expect, intend, anticipate, plan, believe, could and estimate and variations of these words and similar expressions are intended to identify forward looking statements. These forward looking statements are not historical facts and are subject to risks and uncertainties that could cause the actual results to differ materially from those predicted in these forward looking statements. These risks and uncertainties included but are not limited to the risk factors described in the Risk Factors section of the Company's annual report for the year ended December 31, 2014. The Company does not intend and undertakes no obligation to update its forward looking statements to reflect the future events or circumstances. With that, I'd like to turn the call over to Cromwell Coulson.
Cromwell Coulson: Good morning. During this morning's call, we'll cover the financial and operational results for the fourth quarter and full year of 2014, talking about some of the major events that impacted us during the year and address the opportunities and challenges that lie ahead in 2015. Our CFO, Wendy Fraulo will then review the details of our financial results. At OTC Markets Group our mission is to create better informed and more efficient financial marketplaces. We pursue this mission by operating open, transparent and connected financial marketplaces for over 10,000 U.S. and global securities. We believe in the power of shared knowledge and open networks. Being opened, nurtures the most diversity choice and innovation. Our vision is to expand the world of investment opportunities by creating the financial marketplaces of choice. By connecting brokers, organizing marketplaces and enabling investors to intelligently analyze value and trade securities would bring the benefit to public trading to a wide spectrum of securities and efficiently fulfill the capital formation needs of a broad range of U.S. and global companies. Our strategy is to operate a world leading securities market. To do that, we share information widely through open networks that foster greater transparency. We connect broker dealers, organized marketplaces and inform investors. We deliver elegant, reliable and cost effective subscription-based solutions. Through our OTC Link ATS, we directly link a diverse network of broker dealers to provide liquidity and execution services for a wide spectrum of securities. We organize securities in the marketplaces to better inform investors of opportunities and risks, the OTCQX Best Marketplace, the OTCQB Venture Marketplace and the OTC Pink Open Marketplace which incentivize companies to provide better information to create more efficient prices in their securities. Our data driven platform enables investors to easily trade through the broker of their choice at the best possible price and empowers a broad range of companies to improve the quality and availability of information for their investors. 2014 was full of accomplishments and also significant challenges. As Wendy will describe in more detail, revenue increased 19% to more than $42 million and our operating margin was 32%. All of our business lines contributed to the Company's results. This strong financial and operational growth will allow us to continue to strategically invest in our platform, our products and our people. We update our OTC Link ATS subscription pricing to rationalize cost, our bandwidth and connectivity. Going forward it's always going to be a challenge for us to meet the needs of the bandwidth, the throughput and the ability to trade that every security and very highly active international securities for our largest electronic market makers and ECN clients. We also need to balance the pricing, so that there's a second tier of broker dealers providing competitive, liquidity and execution services and our products are a cost effective manner that helps them trade more securities. Finally, we need to keep our products competitive for the smallest broker dealers. Well they may not be big in the number of transactions or the dollar volume transactions, they're very important for the diversity and the price efficiency of our markets. This shows that in many of the smaller securities that are less liquid may need the regional brokers, the specialists, investment banks, the small firms. As we continue March down the road of automating our market, we cannot forget this we may needs lots of diverse participants to get towards the most efficient markets. And that’s the challenge that we're going be working on throughout this year as we look at our pricing. So cost are properly allocated in OTC Link ATS but also brokers are incentivized to trade more securities to provide better pricing and to create better informed in more efficient markets for companies. Our market data licensing revenue grew 38% during the year. After the price increases in January 2014, our subscriber industry base continued to grow there are additional opportunities for this defined the preserve, expansion of our distribution network and professional user base. Our professional users are only around 8% of the professional users of the NASDAQ UTPC. So there is a strong opportunities to expand the base as we worked to provide investors and brokers a comparable information experience to NASDAQ wherever they analyze, value and trade securities. This is where we look at a metric is as we build the quality and breadth of securities that are traded across our marketplaces we should have more investor interest, we should drive more market data professional market data sales. It is a challenge because we market to these investors not just directly as the enterprise licenses what we market indirectly through the major market data distributors. And as we build our visibility of our market as we build our understanding of our markets, we should be able to build out our professional market data user base. We also launched a compliance data file tailored to helped brokers and learning firm better automating our compliance process at manage risk. This is a product to tailor to fit into the future of Big data. If brokers have the information about securities they can automate putting restrictions on the appropriate risk your securities our companies that are less transparent. And they can also remove restrictions on the higher quality companies that have jointed OTCQX or in process for OTCQB. What we want is a marketplace is we are always going to have risky securities on our market. But we want the appropriate compliance processes and control around those securities. So as the security is riskier or less transparent or financially distressed brokers are able to restrict those securities to investors with a higher level of sophistication. But in the same way if the company is being transparent and showing there is not a penny stock that is profitable that pays the dividend what the reporting regime is, which ordered risk. These are company's where broker should be in automated manner be able to remove restrictions to get the trade and experience closer to that of it exchange listed securities. We also start a process for transfer agents to provide us direct monthly fees of shares outstanding to improve the quality and timeless of information for investors and brokers. This is important because in small companies especially once engaging and financing it’s hard to note exactly what the float is. So we're going create a monthly feed which is going be three times more timely than SEC reported for the most part and use for intend what we've been doing with first at SEC reporting companies. And we're also demand to build out better data sales, not just shares outstanding but authorized shares of the DTC, shares with restricted legend on it and really give the market better information about the capital structure of company's and then build a good data set that actually feeds into our compliance policy, feeds into our market data file of higher quality information. That is direct from the SEC registered transfer agent in a more timely manner. If interesting the last year the SEC did bring numerous cases against company to either have disclosed share increases for had disclosed the wrong numbers in there SEC reports of shares outstanding. So this also fixes our regulatory concerned and something that makes investors ore aware in investing in companies. We're providing that third party which is going to fix the informational problems. We're going to continue to look to build out the products that firm see to automate trading and compliance processes. So efficiency has improved and risk can be better addressed. Last year was a big year for our cooperate services business. We launched the OTCQB venture market place standards in May 2014 to further encourage companies to improve the quality and availability of information to investors. To put it straight forward, we are building America's venture marketplace. We are going to put a flag in the ground and we have gotten a group of company's who want to stand up need a higher standard than just being SEC reporting and show that they are worthy of investors’ attention and of risk seeking investors because venture market is not an investible market it's not like OTCQX where are companies are I exchange with the companies earned plenty stock where the companies needs financial standards it's a venture market and it's not a venture market in that these are all companies that have been backed by the largest venture capital firms. It’s a venture market as this is an entrepreneurial development stage company it is a risky venture that has high odds of failing but may succeed and we want to build our venture market to be competitive with the TFX venture, we want to build to be competitive with the AIM market we want it to be built it to be competitive with NASDAQ’s first worth and Scandinavia as well as the GSX markets because we see around the world they’re venture markets that are successful. So under our new standards companies on OTCQB are given a 120 day after their fiscal yearend to meet the OTCQB verification standards, 311 OTCQB companies were verified as of December 31st approximately 70% of those countries that were already on OTCQB but also more importantly 30% were new companies that are upgraded from Pinks that are moved from exchanges that are moved down from OTC-QX that had come directly to want to be in OCT-QB, so that is exciting because the OTCQB product is attracting new companies to the market not just going through setting a higher standards for the existing and not changing the dynamic. Today we have over 500 OTCQB verified companies. There are still roughly 1600 companies that we have left to go through on the verification process is at least 1600 companies and these companies will all have to be OTCQB verified and we’ll have to go or move up to OTC-QX or be downgraded Pink during 2015. The compliance role off of OTCQB standards will continue through July 2015 therefore the majority of the revenue impact from companies that pay the annual fee and meet the new OTCQB market place standards is expected to occur during 2015. OTCQB is a lot of new corporate clients. It is a challenge we’re investing to enhance our systems processes and people to allow us to scale with the increased number of securities that will be subject to compliance and monitoring. Long-term technology will be our friend in this process, short terms it is a people intensive job, but it’s very valuable for us our that people are looking at these companies because this is our venture market 1.0. As we want more about these companies and their means as well as get feedback from their advisors, brokers and regulators and importantly we hear from investors, we will further refine the product offering and improved the standards to be tailored to fit needs of venture companies. It’s important that our goal with the venture market is to make sure that the companies are disclosing the information that allowed investors to appropriately value the security and that’s our challenge. Venture market should not be about merit review you’re a good company you’re a bad company, but venture market should be about transparency and we should be looking to enhance the transparency that’s already there. Most of these companies or SEC reporting we did open up OTCQB to company 12g3-2(b) companies and listed on the TFX venture the AIM and other international venture markets, but it is about enhancing and building on what these companies are doing. And as we do this well, we’re going to increase the value for companies to help investors to make better decisions. In 2014, we also introduced the OTCQX rule for U.S. banks that was in May. These rules provided cost effective market place that leverages bank regulatory standards and creates enhance visibility. We continue to invest in the development of OTCQX as a market place for established global and growth companies. This is our non-penny stock market place. We will be looking at refining the standards to have it be the higher quality companies and having OTCQB as an advantage because it will provide a better home for companies that are not yet ready for OCTQX and need run way to grow and it will also provide a place for companies that are struggling to go as they work on their business and if they become truly financially distress of course they will move to OTC Pink and which is our marketplace where it’s an open market place where brokers can quote any securities and is designed around delivering best execution not around the companies and it gives a chance for companies to restore refinance or reinvent their businesses on one side and also on another side it’s a very easy entry into the U.S. markets for companies. And it gives them a taste of what kind of trading can take place and hopefully the companies will see the value of wanting to do more and provide more transparency to drive better visibility in pricing. But the OTCQX rules for banks is an exciting vertical within OTCQX. At the end of 2014, we had 34 regional and community banks from 14 states qualified for OTCQX under the new bank rules. We had 9 key broker dealers in the bank space that qualified as corporate brokers for banks. This connects banks' trading and in a very lightweight manner, but we've taken a process that would exist where banks would talk to one key broker, that broker would provide good information and it often try to be the leading market maker in the security and it became a very strong mutually symbiotic relationship which OTCQX banks is enhancing. The banks are adding another group of investable securities for OTCQX. U.S. banks have contributed the recent influx of U.S. compensated into the OTCQX Marketplace. During 2014, there was a 92% increase in the number of U.S. securities traded on the OTCQX Marketplace, which included 34 banks. The number of OTCQX International companies declined 9% to 296 companies as of December 31, 2014. While many global companies estimate a loss financial distress on the negative, exchange upgrades on the positive and our higher standards. We are also working to improve retention by investing in our product offering and building a client success team to provide more value for companies and help them understand how to use our platform as is to create more value what are the best practices. It's important for us is for many international sectors that were on OTCQX such as the mining sector and the oil and gas sector of which Canada is our largest international group, but Australia has also been hit. It's important; OTCQX International has struggled with its number growth. And it is something that we're looking very much forward to addressing. I was up at the PDAC Conference on Tuesday and it’s the largest mining conference in the world in Toronto as you walk around the investing where all the companies have, there's kind of companies on the Toronto Stock Exchange and the TSX Venture that also have their OTCQX or their OTCQB symbol on their booths] sometimes below the TSX sometimes above the TSX. And there's also a bunch of companies that weren’t yet on OTCQX or OTCQB, so while industry conditions are tough in the mining sector, the oil and gas sector, Canada as general is OTCQX International offers a compelling value proposition for companies to be able to come in and come out to our markets. We also have to understand though, if we're going to be an easy market for companies across the waters and some are going to come in and not succeed and have an easy out and that's important as a product because we don’t want to be like the exchangers where it's a huge spend to get in and it's tough to get out. We also launched new indexes around OTCQX and OTCQB marketplaces to help investors track performance and build visibility. Indexes are going to bring more transparency to our markets. Whose winning, who's exceeding and help build our securities as a class for investors for investors. We continue to invest in our technology and infrastructure primarily to support our OTC Link ATS operations. We've upgraded our network and infrastructure during 2014. We're also working to make our systems scalable, so we can continue to offer new and enhanced services to our subscribers, users and corporate clients. We cautiously work towards our larger technology and business goals including the eventual introduction of certain Tier 2 NMS Securities on our platform. There were several regulatory events of note to our business during 2014 and the early portion of 2015. Regulation SCI was finalized in November; OTC Link ATS is an SCI ATS. We will be complying with those regulations. The SEC continues to debate regulation under A+ under the JOBS Act. We believe preemption from the state regulation is necessary for Reg-8 to have any impact on small company capital rising. FINRA proposed a rule under which it would regulate OTC Link and similarly situated interview and quotation systems for fair access to the system by broker dealers and fair access to the data, remove the OTCBB rule set and shutdown the seldom used BB product system with broader QCF proposal. The SEC initiated proceeding to serve and whether they approve or disapprove FINRA's proposal and we continue to monitor its progress. Our view is the FINRA proposed rule is a positive that FINRA is looking to fairly regulate us and other similarly situated, but understand the SEC proceeding show their stack concerns that need to be addressed. The SEC and Congress continue to talk about Venture Marketplaces and more importantly discussions of the operational and regulatory hurdles that should be removed to improve secondary trading in smaller marketplaces I point out that all the European leading venture market the UK and NASDAQ personal on GXG markets operated MTS, Europe's version of ATS while centralized venture exchange when you sound great ATS platform should offer more innovation competition and choice with lower cost and complexity to company's brokers and investors. Our 2015 strategic initiatives will focus on pre-primary objectives reliability of our core systems processes and data we are focused on OTC link ATS achieving link AT THE SAME TIME achieving full compliance with regulation FCI enhancing the broker dealer trading experience on OTC link ATS and the cooperate client offering on the OTCQX and OTCQB premium marketplaces increasing the breadth and depth of securities traded on OTC link ATS and of our market data. OTC link ATS is subject to the requirements of regulation FCI the implementation of rate FCI compliance will be coordinated effort between OTC link ATS team and our infrastructure and development teams and will be primary focus on the refinement and enhancement of existing policies and procedures. The regulation standards are in line with our priorities developed to maintain reliable core systems processes and data for our progress. We will continue to increase our investing our platform processes and people in order to ensure that we have reliable in compliance systems policies and procedures. We are lucky that our products are providing more value for our user community and we have been creating organic growth in our business lines. This is important as we scale our business, we need to manage the need to provide a higher level service and is with also driving value to our shareholders long-term. Last year was a year where I believe we achieved a strong mix of financial performance as well as the operational performance that we need to deliver. On February 24 our board of directors declared a $0.10 per share of cash dividend on class A stock payable on March 31 to hold this record on March 17 is our 25 quarterly dividend and the third consecutive $0.110 delivered. A record of paying quarterly special dividends also highlights our continued growth and revenues in net income. We are pleased with our strong operating result and optimistic about future growth based on our solid base of recurring revenues and new product development. The boards of directors also refresh the company's stock repurchase program given the company authorization to repurchase up to 300,000 shares to company's class 8 common stock. I will now turn it over to Wendy Fraulo for review of our fourth quarter full year 2014 results.
Wendy Fraulo : Thanks Cromwell I will start with fourth quarter revenue performances relative to same prior year period. Niche business like future business did overall revenue growth during the fourth quarter. Growth revenue increased $2.2 million or 25% to $111.2. The increase were primarily driven by the growth in the market data licensing in business volume which increase $1.4 million a 36%. Our OTC linked ETS and cooperate services business lines also grew by 40% and 20% respectively during fourth quarter. The gross on market data licensing revenue was mange by price increases in January 2013 the price increase is contributed approximately 62% overall; increase during the fourth quarter other there was also solid growth in our news accounts in expansion of market data licensee and price licenses. Professional user license subscription increased approximately 7% which contributed to the 38% in neutral line revenue. Revenue from enterprise license subscription increased 40% also due to combined impact of additional enterprise internal percent and real time delayed licenses as well as the price increases. Revenue generated but OTC linked ATS is a fine increase for $1000 or 14% during the fourth quarter primarily related to the updated fixed connections pricing schedule and your internet connection charge an increase in OTC dealer with license there were introduced in dry 2014. This resulted in the 46% increase in combine subscription revenue. Although these increases were partially offset by 29% decrease in crop officer to fees turn fourth quarter. Our equipment sales have been sighed experiencing significant changes during 2014 as common enhancements in May the OTCQS and OTCOB premium market places. Since most of you changes were made during the second quarter there result impact of revenue during the quarter and fourth quarter of 2014. During the fourth, quarter cooperate sales grew revenue increased $500 or 20%. The edition of 311 companies paying subscription under the OTC standard that we launched in May partner 16 contributed files and above increase for subscription revenue during the quarter. Is this for and showed it was there to enter the standard and a value for service offering. Premium service subscription revenue increased 7% for the quarter primarily related to the improve retention efforts, growth in the number of corporate clients is driving to our OTC discloser to meet their and increase subscriber use of integrated third party news providers. One another channel I want to cover really to OTCQX subscription revenue, revenues from OTCQX subscription was low on quarter-over-quarter at least during the first three quarters of 2014 although due to the growth in OTCQX in U.S. companies during the second half of 2014, by the fourth quarter OTCQX subscription revenues have recovered to $1.6 million which was the same as 2013. For the remainder of the revenue discussion I am going to be comparing the fiscal year 2014 to fiscal 2013. Some of the business line revenue trends pertain to the fourth quarter that I just discussed was consistent throughout the 2014 and I am going to concentrate on trends that were different when considering the entire year. Market Data Licensing was the largest business line of percentage of total company revenue in 2014 which has been the trends over the past few years. Market Data Licensing increased 6% as percentage of total company revenue and now represented 48% of total company revenue by the end of the year while OTC Link ATS represented 29% and corporate services 23% of total growth revenue during 2014. For comparison in 2013, Market Data Licensing comprised 42% of total company revenue OTC Link closed 32% and corporate services of 20%. Market Data Licensing revenues increased 38% $20.3 million and reflected the combined impact of price increase and expansion of subscriber base for that the user and enterprise levels. Revenue from the user license subscription increased 39%, 10% of which was an increase from the number of per user license. On year-over-year basis, revenue from enterprise license subscription increased 40% which reflected the impact of additional enterprise internal system and real-time delayed license as well as the price increase. OTC Link ATS revenue increased to 5% $12 million primarily related to the changes in our subscription fees which generated 20% higher revenue for the year. This increase was partially offset by a 4% decrease in revenues from quote positions due to a shift comprised from un-priced quote position. This is because our fees on that on priced quotes versus un-priced quote and 30 subscribers received higher discount for having more priced closed. Corporate services Revenues increased 6% to $90.9 million the addition of the 300 paying OTCQB companies contributed $600,000 of additional revenues since May 2014 and premium service revenue increased 10% for the same reasons previously discussed. These increases were partially offset by a 7% decrease in OTCQF subscription revenue primarily due a lower Irish number OTCQX companies during 2014 or the prior year. The renewal rate for OTCQX subscribers was higher going into 2015 and was for 2014 and 10 companies like didn’t renew for the OTCQX marketplace for 2015 decided to join OTCQB market place. I am now going to review expenses and operating income. The revenue growth from the Market Data Licensing business lines was a primary contributor to the expansion of our operating profit margin to 38% during the fourth quarter and 32% for the fiscal year. Management is focused on controlled increases and operating costs specifically related to increases in head count and higher run rates and costs to support our infrastructure and service revenues in order to maintain revenue growth and scale the business. During the fourth quarter, operating expenses increased 8% to $6.6 million primarily related to increases in compensation and benefits and IT infrastructure and information services expenses. Compensation and benefits costs increased 6% primarily due to salary high salary expense and non-recurring employee benefits that were recorded during the fourth quarter. IT infrastructure and information services costs increased 16% due to higher expenses related to purchased data feeds. During the fourth quarter of 2014, income from operations increased $1.6 million or 64% to $4 million. The fourth quarter trends of operating expenses were consistent with the year-to-date trends as well. Compensation of benefits costs increased 9% for the year although other as a percentage of revenue these cost decreased to 37% during 2014 from 40% during 2013. IT infrastructure and information services costs increased 15%, related to the higher run rates to support our technology and infrastructure and software applications. These increases were partially offset by a 19% decreases in marketing and advertising costs primarily due to lowering use of outside agencies during 2014. Income from operations increased $4.6 million or 55% to $12.9 million during 2014. Net income increased during the fourth quarter and fiscal year 2014 which directly correlated to this increase in operating income which was then partially offset by increases in the provision for income taxes due to higher taxable income and the timing of R&D tax credits. The Company’s effective tax rate was 33% during fourth quarter and 39% during the fiscal year. During the fourth quarter of 2014, net income increased 70% to $2.7 million or $0.23 per diluted share as compared to $0.14 per diluted share during the same prior year period. Net income for the fiscal year increased 40% to $5.9 million or $0.69 per diluted share as compared to $0.51 per diluted share during 2013. I'm now going to review adjusted-EBITDA. Reconciliation of GAAP to non-GAAP results can be found in our press release which is available on our Web site. Adjusted-EBITDA which excludes non-cash stock-based compensation expense increased 54% to $4.7 million during the fourth quarter which was $0.41 per adjusted diluted share. This increase was correlated to the increase in income from operations. For the fiscal year, adjusted-EBITDA increased 42% to $15.7 million or $1.36 per adjusted diluted share which was also primarily due to the increase in income from operations. Lastly, I'm going to discuss the Company's cash flows. Cash available for operations was $20.3 million as of December 31. Non-operating cash flows were primarily used to fund dividend paid, first [indiscernible] for our data centers and buyback shares. Our working capital decreased 4% to $14.7 million as of December 31st mainly due to the increase in deferred revenue which is generated from our increase in corporate clients which increased current liabilities by about $3.7 million. This increase in current liability flow was offset by an increase in our current assets of about $2 million primarily from higher sales during the year. Thank you very much for your time. Cromwell I'm now going to turn it back to you for some questions.
Cromwell Coulson: Operator, please open for questions and anybody has any questions for us, feel free to ask.
Operator: Thank you. At this time we'll conduct a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of [indiscernible] Research. Please proceed with your question.
Unidentified Analyst: Excellent numbers as always I'd say. Just have a quick question on the corporate services. If I recollect a few years ago the last time I checked these numbers I think you charged about 15,000 for OTCQX. Is that still the case? And then, is that the same for banks or are they under some different pricing schedule? And then the third pricing question is just back of envelope based on the numbers that Wendy gave. I'm guessing that verified OTCQB the companies pay is that somewhere around 6,000 or 7,000 something like that per year?
Cromwell Coulson: So first I'm going to talk about the first one is. We charge 15 grand for OTCQX is that is right now. Banks is 10 grand and had ended is - so banks we've had an introductory rate of $10,000, but that is going to be moving towards QB existing companies who're paying $7,500 a year for the first two years. New companies are coming on, so that 30% number that we spoke about is $10,000. And I think it's really interesting to be looking at our pricing and comparing that to the U.S. exchange space, because that's really - what percent of value can we deliver to a company on OTCQX versus a NASDAQ listed and if you look at NASDAQ capital market is $32,000 to $45,000 depending on your market cap. They're changing that model because they charge additional fees they've brought out an all-inclusive which is closer to our OTCQX for new companies and existing companies are going to go there in I think 2018. They charge that prices $42,000 to $75,000 a year, so that's NASDAQ's low price offering. NASDAQ's top offering in for existing companies if 40 K to 135 K and the all-inclusive is going to be 45 to 155. As NYSE MKT is 35 grand plus other fees, NYSE itself starts at 45 but goes up at the highest of all the exchanges. So what I would say is in the all-inclusive space, its NASDAQ capital market is 42 grand. With QX what percentages of the value are we providing because I think we should try to as we build this product provide half the value of exchange and capture that amount of value overtime. But that’s not something we're going do in a week. QB is going to be priced less than that as a venture market and it's not going have all the bells and whistles but it's going to be one that needs it’s going be a market which we do stay competitive. As we learn about the companies that are trading on our platform, that’s when you figure out where you should put more value in to that product suit and it's pretty incredible the value price today if you're comparing QX of 15000 to OTC to NASDAQ capital market of 42,000. But that as a pricing I think we really should be figuring out over the next five years how do we get ourselves that we're charging from QX for companies that could be on exchange somewhere around half to two third. But delivering that amount of volume is our challenge.
Wendy Fraulo: And what I just point to remind you that all of our key special that probably available on our website on their worsen and structurally based. But everything is probably available in this is PEE there.
Unidentified Analyst: What are the questions about the value that you're delivering just talking to some retail brokers I know we just talk brokers that some company some brokerage firms like distinctions in terms of the amount of hooks say a broker has to jump through if they want to recommend to our client OTCQX or certainly QB company versus NASDAQ company I guess I take it your compliance filed is some efforts to helped kind of rate are distinction and the mind of the brokerage firms.
Cromwell Coulson: I think it's actually two parts is one you have to look at the regulatory frame work in United States. A lot of reasonably so we've got this risk controls on pink QXV something when the cause book in board was is really came from two regulatory framework one the SEC penny stock trend market which makes it top for brokers to recommend there is a fair amount operative and there are the second part is state blue sky and that also makes a tougher for brokers to recommend and also top for brokers we do recommend securities to even take on personal orders in those securities they're not loose sort compliance. Our approach with the market structure with OTCWX which is companies that we believe debt to debt we've got a penny stock standard to join and NASDAQ actually have been capital market allows penny stock to have a lift a publish one or D-company stocks. But I would believe this specially with OTC cubic we're going it contain penny start standard into OTCQX is the stocks not a penny stock if user re consumed to send the regulations to SEC regulations. Now the important thing is and actually box comes in apparent to broker dealer this is not a penny stock because they know they automated manner you're not a penny stock. Now the second thesis who is sky we build tax at minimum continuing standards are based on the uniform state secures that score so OTT expectations is build that find into the blue sky regulatory regime . Now the problem with blue sky is the majority of states it's relatively easy to get blue sky. There is been other group of states where get some work there is other states were impossible to get blue sky. And when I started off as optimistic we're going create a product is of solution FX blue sky we haven’t too able to do that yet. Now still like to we can fix it and we've got some larger globally companies that we're working with and trying to get blue sky across very venue. It's top because you just need one state and that could be even be Guango. That would not allow but was and can't get to a 100 so that is part. We're talking about the jobs have changes we really believe that the SEC needs to take a look at Blue Sky preemption and transaction through global drummer. And just because there is nothing that isn’t interesting transaction when you trade through a broker dealer as we would address that company especially one that SEC reporting we're up February regulated Bank holding company for a 12 decrease of e-company that’s exact from SEC and provides the disclosure to be in compliance then they have to go -- you then have to go all these different jurisdictions so now I get the OTCQB, a lot of these companies are penny stocks and that’s the same thing on the TFX Venture it’s about 80% of them -- on the TFX Venture the mean average, median average, median that market cap is around 4 million or 5 million. These are little companies it’s about two-thirds of the AIM companies so you’re not going to get into the advisory brokerage position and that’s fine you’re going to be chasing self directed investors you’re going to be talking to smaller institutions and you just need to target you IR to that stage of your growth and then when you’re not a penny stock when you can’t make things those standards then you can step up and as we built our compliance and you’ll be really good to show this company is of this size this company is of not a penny stock. And the brands of the markets will grow up around it not a NASDAQ capital market it didn’t have state to these guys presumption until NASDAQ became an exchange in 2006. So you call succeed you can’t get your way it’s just not perfect level playing field but it’s also NASDAQ is a much more expensive offering is not just a $42,000 a year the beyond the NASDAQ capital market, but it’s a lot of other expenses for a company. So that’s just the tip of the iceberg and if you’re going to spend some of that money to get yourself lose guy to most of country is you can create more value, but we’re -- it’s a constant conversation to not remove regulatory risk control that thoughtful because actually in a lot of places they should be increased, but it’s really constant to remove the rules that are just stupid or don’t work and there is quite a few of those.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Daniel [Baldini] with Auburn Asset Management. Please proceed with your question.
Unidentified Analyst: So if I look on your Web site you have 2,134 companies on OTCQB and you’ve said that at the moment over 500 verified, so if…
Cromwell Coulson: And that’s 2,134 securities there is a couple multiple securities in there.
Unidentified Analyst: Okay, if I say there 1600 companies that have yet to make a decision, how many of those 1600 do you and Rick will seek to become verified between now and the end of July?
Cromwell Coulson: And that’s what we call forward-looking statements, we don’t do this, don’t you know the problem with America is forward-looking statements and then public companies have to do all these things with their numbers to make those statements. Look, you can look through there is going to be a mix of different types of companies is some companies are ones which have security which is it’s a secondary security and their primary security is on New York Stock Exchange, this could be a preferred stock, it could be the foreign ordinary share of a nice invested ADR. So those are -- to make that’s -- and on other side as my sales team there are some companies where they look at them and said, yes we’re not get this companies never going to apply and they have applied, so trying to figure out what is going to be there who is going to do it is it’s a metal process which I think the market is had as going to as good as ours. And then the second part is when I went to take our market places electronic, one third of the brokers and space were crazy and said this sounds awesome let’s do it, one third were like yes tell me how it goes I’ll talk you to and one third told me go away you're destroying the world and we don’t want all this new technology and transparency. And what I found interesting was this conversation that I had in the beginning some of the firms that were excited, we’re part of our founders some of the firms were excited never did anything. And other ones that we’re sold upon very against it became some of our biggest supporters over time and users. In that end OTCQB is a process of gentrification and there is a lot of people in New York who are moving to the latest hit neighborhood in Brooklyn that five years ago they would have thought personally and 10 years of moving to and 10 years they would have thought that whoever goes is there crazy and that technique with our market is as we build out the brands by building our the brands of the companies and having the types of companies and personality that they’re traded there it’s going to change overtime and some of the companies that we’re going to have in July we’re not work long-term. Their transparency for investor isn’t going to be good enough; we're going to figure it out. And we're going to be building a process, but if we do a good job of setting the better standards than it was there is we should attract and attract not just the retain the existing, but attract new one. So I look at it very dynamically of we can't do a static review of this is how much and the hurdle we're going to call because we're not building on this basis. We're trying to build someplace where we are in five years. And five years, people look back and go loud. I mean a year ago if I told -- is most people we spoke to about turning OTCQB into a premium market, putting in the dynamics that need to fit venture companies, people would have said we're crazy. And no company is going to pay anything. And we have 500 companies. And this is a good start and -- but is a process. And the other dynamic is as OTCQB becomes defined as a venture market, the non-penny stocks the more established smaller companies the growth companies, they're going to want to go to QX because they're going to want to be in the right organizational spot for themselves. But we're doing it in a lightweight manner and we don’t have -- it's a classic technologies is to attack a space and the SMEs the ones where the exchange listing doesn’t fit. But the product we build because I go back to there's three functions of being a marketplace operator that we focus on all the time and every other marketplace operator in the world focuses on the New York Exchange, Sotheby's, eBay, However they all focus on transactional efficiency which is what we handle through the broker dealers for out OTC Link ATS. Transparency, more transparency is always good. Transparency for the consumers, so they make good choices, but many providers do a little better without transparency, so we have to make it beneficial for transparency to be fostered. And finally trust and safety, where you get to for trust and safety is it's hard. It is hard how you build trust and safety. We're going to be pretty sure that the listing and government's process doesn’t work well for smaller U.S. companies, it doesn’t work well for community banks, it doesn’t work well for global companies -- the largest global companies and it also doesn’t work well for global growth companies is perfectly. And those are the competitive segment that as we build out our product offering I think -- and build out the value of the process, I think we will -- the platform will create its own success if we do it well. If we don’t do it well, we'll just be spending our time looking at a dwindling number of the -- our OTCQB tale, but is -- but 30% of the company is being new and exciting.
Operator: Thank you. Mr. Coulson there are no further questions at this time. I'd like to turn the floor back to you for any final remarks.
Cromwell Coulson: I clearly spoke too much. Next time come back with more questions and as our business moves along. We made good progress last year, but solving complicated problems is not easy and it will take time. We're lucky that we have a strong recurring revenue business with a mix of clients who we create value for. And we're going to manage the business long-term to try and increase value overtime and be aligned finally with our shareholders because money goes to where it's well treated. And we need to build an enterprise that is aligned clearly with our shareholders as well as our clients and our colleagues. Thank you very much.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.